Operator: Good morning, everyone and welcome to the Fourth Quarter 2022 Earnings Conference Call for LightInTheBox Holding Company Limited. Today's conference is being recorded. At this time, I would like to turn the call over to Mr. Rene Vanguestaine for [opening remarks] (ph).
Rene Vanguestaine: Thank you, Betsy. Hello, everyone and welcome to LightInTheBox fourth quarter 2022 earnings call. The company's earnings release -- earnings results were released earlier today and are available on the company's IR website, as well as through PRNewswire. On the call from LightInTheBox are Mr. Jian He, CEO; Ms. Yuan Jun Ye, Chief Financial Officer; and Ms. Wenyu Liu, Chief Growth Officer. Mr. He will give an overview of the company's strategies and recent developments, followed by Ms. Ye, who will go over the financial results. They will all be available for the Q&A session that will follow. Before we proceed, I would like to remind you of our safe harbor statement. Please note that the discussion today may contain certain forward-looking statements made under the safe harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. These forward-looking statements are subject to risks and uncertainties that may cause actual results to differ materially from our current expectations. To understand the factors that could cause results to materially differ from those in the forward-looking statements, please refer to our Form 20-F filed with the US Securities and Exchange Commission. We do not assume any obligation to update any forward-looking statements, except as required under applicable law. At this point, I'd like to turn the call over to Mr. He. Mr. He, please go ahead.
Jian He : Thanks, Rene, and thank you, everyone, for joining us today. We capped off 2022 by delivering a quarter of solid operating and financial performance. Revenues increased 38% year-over-year to a record high of $156 million. This brought our annual revenues above $500 million and our apparel sales to $400 million, a new milestone in our history. And our year end cash balance increased to $95 million. Our revenue growth rate in the second half of 2022 was also remarkable at 23%, 38% in Q3 and in Q4, respectively. This is a testament to the [effectiveness] (ph) of our strategy and the strong execution skills of our team that operated under a very tough macro environment. Gross margin for the year improved significantly to 55% from 46% in 2021. We took a one-off non cash impairment on an equity investment of $56 million and the after tax impact of this impairment was negative $43 million for the first quarter. The impairment was taken due to the extreme and rapid acceleration of the business over the investee in the last month of 2022. This impairment has no impact on our own business operations, which, as demonstrated by our operating performance, remain healthy and continue to grow. In a year marked by global inflation and economy uncertainty, there are many consumers more cautious in their spending. And the pandemic related supply disruptions, our performance has been quite remarkable. Notably, in 2022, the revenue growth rate in our apparel category significantly out passed the overall market. During the first quarter, revenues from apparel increased 51% year-over-year to $124 million. For the full year 2022, revenues from apparel reached about $400 million, representing 79% of our total revenues. This solid performance is as result of three specific factors. First, we are offering a wide selection of value for money apparels in the products that have customers mitigated the impact of inflation on their daily spending. Second, we have been targeting a retail generation, middle class consumers 40 years older and older who have higher disposable income. And third, over the past two years, we have gradually increasingly our vision in targeting customers by leveraging our R&D capabilities. Looking ahead, we will continue to invest in R&D to improve user experience and the efficiency in reaching our customers. We want to continuously offer our target customers affordable, comfortable, aesthetically pleasing and visually interesting clothing. This can bring happiness and vibrancy to their daily life. As the supply chain issues have been resolved and uncertainty lifter, we thus started to give quarterly guidance from this quarter on. With that, I will now hand the call over to Yuan Jun to go through the financial results.
Yuan Jun Ye: Thank you, Mr. He. Let me start with the financial highlights for the quarter. In the fourth quarter, our total revenues were $156 million, up 38% year-over-year from $113 million. Revenues from apparel increased 59% to $124 million, representing 79% of total revenues compared with 69% in the same quarter of 2021. Accordingly, gross margin improved to 54% from 47% a year ago, thanks to higher margin from apparel sales. Meanwhile, we managed to keep our inventory level to a minimum, thanks to the dedication and hard work of our entire team under this very challenging environment. Total operating expenses were $89 million, compared with $61 million during the same quarter of 2021. Selling and marketing expenses were $72 million, an increase of $31 million year-over-year. As we continue to invest in building our awareness and driving top line growth in the face of macroeconomic headwinds. Fulfillment expenses were $9 million compared with $8 million during the same quarter of 2021. G&A expenses decreased by $4 million year-over-year to $8 million in the fourth quarter as we continue to increase efficiency across our entire organization. Included in G&A expenses, R&D expenses were stable at $5 million on a sequential basis. We remain focused on further improving user experience through continuous innovation. Loss from operations was $5 million compared with $7.5 million in the same quarter of 2021. Net loss for the fourth quarter was $48 million compared with net income of $9 million in the same quarter of 2021. The increase in net loss was mainly due to the impairment loss of $43 million net of income tax impact on our equity investments Shenzhen Maikailai Technology Co. Limited, which is a live stream retailer for personal cleaning and beauty product and household cleaning products. The impairment was made due to the adverse change in market conditions that caused the extreme and a rapid deterioration of its operations. On the balance sheet, as of December 31, 2022, we had cash and cash equivalents and restricted cash of $95 million compared with $60 million a year ago. Now let me walk you through our 2022 full year financials very briefly. Total revenue was up 13% to $504 million from $446 million in 2021. Revenues from apparel increased 46% to $400 million in 2022, compared with $274 million in 2021, representing 79% of total revenues in 2022 compared with 62% in 2021. Gross margin improved to 55% from 46% in 2021. Total operating expenses were $289 million compared with $223 million in 2021. Net loss was $57 million compared with net income of $13 million in 2021 due to the reason explained previously. Despite external challenges, we are confident in our ability to navigate through difficult times and stand out in the competitive market and deliver long term value to our shareholders. Finally, for the first quarter of 2021 guidance, based on information currently available and business seasonality, we expect net revenue to be between $135 million and $145 million, representing a growth rate between 44% to 54% compared with the same quarter of 2022. This concludes our prepared remarks. At this point, we are ready to take some questions. Operator?
Operator: Thank you. [Operator Instructions] The first question today comes from [Matt Lee] (ph) with CRS Capital. Please go ahead.
Unidentified Participant: Yes. Hello, good morning. We see that the top line grew pretty rapidly in Q4 despite some of those challenges you talked about. And I also hear you're providing positive revenue guidance for Q1. So I wonder if you could just share your thoughts on whether you can maintain that growth rate looking out over the full year? Thanks.
Yuan Jun Ye: Hi, Matt. Thank you for your question. Yes, as mentioned, the Q1 guidance represents a good growth rate. As for the rest of the year, we expect consumers keep cautious on their spending and therefore value for money or cheaper products are still on high demand during this period of inflation. And our key product offerings have shifted to daily necessities like clothing at very affordable price over the past two years. This is a successful move which satisfy consumer needs. And through customers' review, we see more and more healthy customers shop more often with us, which means higher repeated purchase rate. So we will remain our efforts to focus on consumers' needs and improve our operational efficiency and do our best to grow our top line in the rest of the year.
Unidentified Participant: All right. Thank you very much.
Operator: [Operator Instructions] There are no further questions at this time. I'll now hand the call back to Mr. Vanguestaine for any closing remarks.
Rene Vanguestaine: Thank you, Betsy. This concludes our fourth quarter 2022 earnings conference call. Thank you all for your participation and ongoing support of LightInTheBox. We look forward to providing you with updates on our business in the coming weeks and months. Have a good day.
Operator: That does conclude our conference for today. Thank you for participating. You may now disconnect.